Operator: Good morning ladies and gentlemen and welcome to the VOXX International Fiscal 2013 Third Quarter Conference Call. My name is Jasmine, and I’ll be your coordinator for today. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I’d now like to turn the presentation over to your host for today’s conference Mr. Glenn Wiener. Please proceed, sir.
Glenn Wiener: Thank you, Jasmine, and welcome to VOXX International’s fiscal 2013 third quarter conference call and webcast. Today’s call is being webcast on our website www.voxxintl.com. It can be accessed in the Investor Relations section. We also have a replay available for those who are unable to join. With us on today’s call are Pat Lavelle, President and Chief Executive Officer; Michael Stoehr, Senior Vice President and our Chief Financial Officer; and John Shalam, our Chairman of the Board. Before we begin, I’d like to remind everyone that except for historical information contained herein, statements made on today’s call and webcast that would constitute forward-looking statements are based on currently available information and the Company assumes no responsibility to update any such forward-looking statements. Risk factors associated with our business are detailed in our Form 10-K for the fiscal year ended February 29, 2012. We will begin today’s call with remarks from Pat followed by Michael and we will then open up the call for your questions. And at this time I’d like to turn the call over to Mr. Pat Lavelle.
Patrick M. Lavelle: Thank you, Glenn, and good morning. I’d like to start by wishing you all a happy and healthy New Year and our best wishes for a prosperous 2013. I’m speaking this morning from the Consumer Electronic Show in Las Vegas where we’ve introduced new products in every one of our brands. The mood here is upbeat and everyone is looking forward to an improved economic picture in 2013. Last night we reported third quarter earnings and from a pre-tax profitability perspective we have the best quarter in our 50-year history, excluding the quarter in which we sold our cellular group. Our business was driven by continued strength in our domestic operations and we’re holding our own in the international markets despite the issues that continued to plaque the eurozone. 
Charles Michael Stoehr:
Patrick M. Lavelle:
Operator:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Operator:
Ross Licero - Craig-Hallum Capital Group:
Patrick M. Lavelle:
Charles Michael Stoehr:
Ross Licero - Craig-Hallum Capital Group:
Patrick M. Lavelle:
Ross Licero - Craig-Hallum Capital Group:
Patrick M. Lavelle:
Charles Michael Stoehr:
Ross Licero - Craig-Hallum Capital Group:
Charles Michael Stoehr:
Ross Licero - Craig-Hallum Capital Group:
Charles Michael Stoehr:
Ross Licero - Craig-Hallum Capital Group:
Charles Michael Stoehr:
Patrick M. Lavelle:
Operator:
James Winchester - QVP:
Charles Michael Stoehr:
James Winchester - QVP:
Charles Michael Stoehr:
James Winchester - QVP:
Charles Michael Stoehr:
James Winchester - QVP:
Charles Michael Stoehr:
James Winchester - QVP:
Charles Michael Stoehr:
Operator:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Charles Michael Stoehr:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Scott Tilghman - B. Riley Caris:
Patrick M. Lavelle:
Operator:
Patrick M. Lavelle: